Operator: Good afternoon and welcome to ZimVie’s First Quarter 2022 Earnings Conference Call. [Operator Instructions] As a reminder, this call is being recorded for replay purposes. I would now like to turn the call over to Marissa from Gilmartin Group, Investor Relations, for a few introductory comments. Please go ahead.
Marissa Bych: Thank you all for joining today’s call. Joining me are Vafa Jamali, President and Chief Executive Officer and Rich Heppenstall, Chief Financial Officer of ZimVie. Earlier today, ZimVie released financial results for the quarter ended March 31, 2022. A copy of the press release is available on the company’s website, zimvie.com as well as on sec.gov. Before we begin, I’d like to remind you that management will make comments during this call that include forward-looking statements. Actual results may differ materially from those indicated by the forward-looking statements due to a variety of risks and uncertainties. Please refer to the company’s 2021 Form 10-K and subsequent SEC filings for a detailed discussion of these risks and uncertainties. Additionally, the discussion on this call will include certain non-GAAP financial measures. Reconciliations of these measures to the most directly comparable GAAP financial measures are included within the earnings release and/or the investor deck issued today found on the Investor Relations section of the company’s website, zimvie.com. This conference call contains time-sensitive information and is accurate only as of the live broadcast today, May 5, 2022. ZimVie disclaims any intention or obligation, except as required by law, to update or revise any financial projections or forward-looking statements whether because of new information, future events or otherwise. And with that, I will turn the call over to Vafa Jamali, President and Chief Executive Officer of ZimVie.
Vafa Jamali: Thank you, Marissa. Good afternoon and thank you all for joining us for our first earnings call as an independent public company. My name is Vafa Jamali and I am honored to serve as the President and CEO of ZimVie. I am on the call today with Rich Heppenstall, our Chief Financial Officer and I believe I speak on behalf of our entire leadership team in saying that we are very excited to be here as a standalone business following our spin-off of Zimmer Biomet on March 1, 2022. I’d like to kick off our call today to see who we are at ZimVie, including our Dental and Spine businesses and the opportunities and then reviewing our recent financial performance. Before I dive in, I want to thank all of our employees for their efforts made towards our spin-off to become an independent company. Despite COVID-related macro trends that both disrupted our employees, our end users and created a very difficult hiring period, our team was able to stand up this new organization and begin our turnaround. As a reminder, ZimVie is a global medical technology leader dedicated to enhancing the quality of life of Dental and Spine patients, and we participate in a $20 billion global market opportunity across these markets. We are the number five largest player in the worldwide dental market and the number six in Spine. We have over 20 brands trusted by clinicians and surgeons worldwide. We operate in 70 plus countries and we have approximately 2,700 team members. Our vision is that everyone deserves to feel better, healthier and stronger. Our mission is to advance clinical technology foundation restoring daily life, and we offer dental and spine solutions that do exactly that, enabling our patients to better enjoy and experience life. Our team shares the growth mindset that gives the energy and the inspiration we need to do more for those patients. As I mentioned earlier, we have the fortune of being a leading player in two substantially growing markets. Our product platforms address a broad set of clinical critical patient needs across those markets and are substantially differentiated from competitive solutions in several cases. Our dental business is very well positioned in the growing dental – global dental implant and biomaterials markets. Within this segment, we operate in three key categories: dental implant solutions, which is our largest contributor; biomaterials, which support the durability and sustainability of the implant; and digital dentistry, which is an emerging technology that provides significant workflow to support to the clinician across our office and derivatively both improve the quality of the implant while reducing the time that a patient spends in the chair. As we scale our digital dentistry solutions, we are also driving strong pull-through of our Implant business. Our spine business comprises of a broad portfolio addressing all areas of the market. Within Spine, our largest category is growing complex solutions, followed by bone healing. We also have exposure to two exciting emerging categories: Minimally Invasive Surgery, which typically require some sort of enabling technology to be effective and is an area we intend to grow into and Motion Preservation Devices, an area we are actively leading and remain very excited about. This category includes the Mobi-C, market leading cervical disc replacement as well as the Tether, a novel treatment for pediatric scoliosis. The opportunity here is to transition more patients from fusion to one of these two modalities. These are great market development opportunities requiring substantial clinical selling, which we believe we can leverage to our advantage, the breadth of our portfolio and our strong market positioning as a function of our rich history. Looking forward, we intend to maintain our breadth to address a broad diversity of patient conditions while optimizing our exposure to the highest growth segments and continue to evolve our solutions to best meet patient and provider needs. As part of that, we’re committed to ongoing innovation in both of these segments. We have approximately 300 in-house R&D employees across Dental and Spine. Much of this team has contributed some of the best innovations in the past, and we are excited to have this team continue their journey with ZimVie, as we look to bring new technologies to market for the benefit of patients going forward. Turning to our strategic objectives as a standalone entity, at this stage of our independence, it’s important to share the progress we’re making towards our long-term priorities to define and accelerate our growth drivers while expanding our operating margin. We have developed a strategic framework that will shape our priorities and direct our approach towards investments supporting sustainable growth and value creation for ZimVie. The intention of our margin expansion plans, are to provide the fuel necessary to drive our growth aspirations. We are focused on three strategic factors: stability and separation from Zimmer Biomet, operational excellence and portfolio optimization. Stabilizing the business and separating from the remaining arrangements with Zimmer Biomet remains a critical short-term priority. Our team has been hired with no major vacancies remaining. The team is now staffed with the right people, with the right attitudes and the right jobs. We are continuing to make progress separating our o-U.S., our outside of U.S. Spine business and setting up our regional infrastructure, largely utilizing the existing outside of U.S. dental back office infrastructure. A major short-term priority here is consolidated and upgrading our ERP platform and distribution centers across the globe. These transitions have been completed in the U.S. and Canada and underway in Asia-Pacific and Europe. These transitions are critical to building an efficient and connected global business infrastructure to execute on our operational objectives going forward. Completion of these projects will also result in many of our transition service agreements with Zimmer Biomet. Operational excellence is our second critical vector. I’m also pleased to share that we have kicked off our operational excellence plan designed to improve our overall profitability through the next several years. We are aggressively examining our cost structure in terms of how we do business, both for manufacturing and operations as well as commercial and corporate infrastructure. Initially, we exited unprofitable geographies, implement our brand rationalization program. These efforts will have a small negative impact on spine revenues for 2022 but no impact on profit and will improve our focus, our profit and our future prospects. I’m confident that we have multiple opportunities to take cost out of our business without impacting patient care nor impacting our growth ambitions. Finally, with respect to portfolio optimization, we have implemented disciplined portfolio management. Here, we run a deep analysis of our portfolio of initiatives. We then streamline our focus on top projects that are in the best markets while eliminating time consuming and low-return projects. As a result, we will allocate investments based on the ability to drive innovation. Specific to spine, we started aligning our U.S. channel to our most important business priorities in our adjusted financial incentives accordingly. We have clearly communicated what’s expected and are now moving into more directional performance management. So how are we doing up till now? First, I’d like to reiterate that it remains very early days for ZimVie. Nonetheless, I’m pleased to announce that we recognized $234.7 million in total revenue for the quarter, declining modestly year-over-year, but offering a baseline against we are confident we can grow over time. Rich, our Chief Financial Officer, will provide greater detail on our first quarter financial performance shortly. But before I turn it over to Rich, let me briefly detail the impact of a pandemic on the recent performance of financial outlook. In the first quarter, our Dental business was largely immune to pandemic-related disruption of the clinician side of care, and we saw strong high single-digit constant currency growth, as rich will detail shortly. However, our spine business has periodically been affected by COVID-related hospital slowdowns, most recently in China. Spine procedure volumes across the market did improve over the course of the first quarter, and we have continued to see moderate improvement through our call today. Although some challenges in inpatient procedures with staffing shortages remain. Until the remainder of the year, the transition from pandemic to endemic, we are hopeful that the U.S. healthcare system will remain resilient against further variance and business conditions, particularly for our Spine business will continue to improve. Perhaps more importantly, we have a chance to identify several operating model improvements, driven by lessons we learned from pandemic. Internally, we have learned how to operate remotely and more efficiently when needed. Externally, we have learned how and where customers have flexibility to adapt where they still – and where they still face substantial need. For example, we saw our dental customers adjust quite quickly to pandemic results – pandemic restraints by increasing their use of PPEs, adopting their office setups to keep seeing patients. We saw similar trends within spine, albeit later in the pandemic, but providing takeaway for us on how we can continue to evolve and meet the greatest needs of providers and patients to our people and our platforms. I will now hand the line over to Rich Heppenstall, our Chief Financial Officer, to review more details of the first quarter performance outlook.
Rich Heppenstall: Thanks, Vafa and good afternoon, everyone. I’ll begin by reviewing our first quarter 2022 results and we will then close by providing some additional thoughts on our outlook for the full year 2022. Beginning with sales, total third-party net sales for the first quarter of 2022 were $234.7 million, a decrease of 4.6% on a reported basis and 2.7% in constant currency when compared to the prior year period. Please note, our total first quarter net sales were impacted by 1 less selling day than the first quarter of 2021, worth approximately 1.6% to growth. Shifting to our segments, Global Dental’s third-party net sales were $120.6 million, representing a 6.4% increase on a reported basis and a 9.2% increase in constant currency when compared to the prior year period. This includes the 160 basis point headwind from 1 less selling day in Q1 of 2022. We continue to gain traction on our strategy of leveraging a strong foundation in medical education and our digital dentistry and biomaterials offerings to pull through impact sales. Geographically, within dental, U.S. third-party net sales of $68.3 million increased by 8.2% and outside of the U.S. sales of $52.2 million increased by 4% and 10.5% on an as-reported and constant currency basis, respectively. Moving on to Spine. Global Spine’s third-party net sales were $114.1 million in the first quarter of 2022, a 13.9% decrease on a reported basis and a 12.9% decrease in constant currency when compared to the prior year period. The decrease in Spine sales is driven by the exit of certain unprofitable markets in late 2021, the discontinuation of products as part of our brand rationalization program and distributor bulk orders in the first quarter of 2021 that did not recur. When adjusting for these items and taking into account 1 less selling day, Spine sales decreased by 9.5% and 8.4% on a reported and constant currency basis, respectively. Our underlying performance in Spine was impacted by ongoing competition and challenges associated with COVID-19. Turning now to profitability. Adjusted gross profit was $149.3 million compared to $165.9 million in the prior year period. Adjusted gross margin was 63.6%, a decrease of 380 basis points when compared to 67.4% in the prior year period. The year-over-year decline is due to reduced volume and higher excess and obsolete inventory expenses in Spine. Adjusted research and development expenses as a percentage of third-party sales were 5.9% versus 5.3% in the prior year period, in line with our expectations. Adjusted selling, general and administrative expenses of $116.2 million or 49.5% of third-party sales reflects a reduction of $10.3 million or 190 basis points when compared to the prior year period due to lower variable selling expenses and timing delays of cost to incur standup activities for ZimVie as an independent public company. Adjusted EBITDA of $33.8 million or 14.4% of third-party sales reflects a decrease of 180 basis points from 16.2% in the prior year period. The year-over-year decline was due to lower sales and higher excess and obsolete inventory expenses in the Spine segment, partially offset by higher Dental segment sales and timing delays of costs to continue to stand up ZimVie as an independent public company. Adjusted earnings per share, was $0.50 on a fully diluted weighted average share count of 26.1 million shares. Quickly touching on liquidity. We ended the first quarter with approximately $104 million of cash and equivalents, including approximately $22 million of cash earmarked to settle certain post-spin-related transactions and to fund ERP implementations to decouple from our prior parent company. Netting those earmarked funds, we ended the quarter with a healthy cash balance of approximately $82 million. I will now provide some additional color on our full year 2022 outlook. We are reaffirming our full year 2022 guidance of $1 billion in third-party sales, adjusted EBITDA margin of 13.1% to 13.6% and adjusted earnings per share of $2.10 to $2.30 per share. However, we now expect our Dental segment to grow in the mid- to high single digits compared to the mid-single-digit growth previously guided, and we also expect the Spine segment to contract in the mid- to high single digits compared to contracting in the mid-single digits, as previously guided. Our adjusted earnings per share guidance remains unchanged at $2.10 to $2.30 per share. With that, I will turn the call back over to Vafa.
Vafa Jamali: Thank you, Rich. We see an incredible opportunity to revitalize exciting aspects of our portfolio with the greatest clinical impact for providers and patients in the Dental and Spine markets. Overall, I am very encouraged by our progress made towards free cash flow generation and our margin expansion programs at this early stage. We are in the very early innings of an exciting opportunity. With that, I want to thank you for your time and open it up for any questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Matt Miksic with Credit Suisse. Please go ahead, sir.
Matt Miksic: Hi, thanks for taking the questions and congrats on a pretty strong quarter here in Q1. So, I wanted to ask just one question maybe following up on the comments you were just making around sort of spine trends and then I had one follow-up. So things kind of, as you know, I am sure sort of recovered a little bit faster in Q1 in terms of volumes and staffing and all the things we have heard about throughout Q1 earnings for the group. Your numbers were a little bit light and you have taken down your full year expectations a little bit. And I am just wondering how much of that is some dynamic in respective geographies or end markets that you are in? And how much of that is shifting expectations for some of the key growth drivers that you have laid out, namely around Tether and around Mobi-C?
Vafa Jamali: Thanks for the question, Matt. Vafa here. So, we have a mix there. So, we do have some impact from exiting some geographies that undoubtedly affects the 2022. We have some brand rationalization as well. But within Spine, we really do think that we need to give the portfolio some time for some – really some commercial fixes that we think are fixable within 2022. But unlike Dental, we have got a bit of a head start in terms of turning that one. Within Spine, we still think there is some commercial fixes for us to do. It doesn’t pushback or change any of our thesis with regards to our growth drivers, but it does require us to take a little bit more active management of some of the commercial decisions we made and some of the execution that we have done in Q1 and for the rest of 2022.
Matt Miksic: Okay. That’s helpful. And just a follow-up on margins, another key big theme. We have heard a lot about this quarter, as I am sure you know is rising input costs. You mentioned a little bit about that in your prepared remarks. You are holding full year sales guidance expectations and EBITDA margin, just wondering if you could help us understand kind of the ebbs and flows or puts and takes to how you are handling some of the – if you are seeing and how you are handling some of the same rising costs or expected rising costs throughout this year in wages and energy, etcetera?
Vafa Jamali: Sure. Rich, why don’t you take that one?
Rich Heppenstall: Yes. Hey, Matt. Good to talk to you again. Yes. So with regard to cost increases, we have seen some marginal cost increases, in particular, like you mentioned in labor. Many of those cost increases that we actually saw we actually saw it toward the back part of 2021. And so those were kind of embedded in our underlying guidance. We are obviously seeing some impacts to freight relative to – largely to Dental and then some other minimal impact of raw material price increases. The good news is on those material price increases, most of our products are outsourced manufacturing on the Spine side. And so we’re pushing back the suppliers and negotiating cost increases accordingly. And then most of our manufacturing on the Dental side is largely in-sourced, as you know. And one of the things that we’ve got a really distinct advantage on the Dental side is much of our material – raw material pricing is in fixed contracts that do not permit price increases through, I think it’s 2023. And to a certain degree, we’re insulated from any material cost increases on the Dental side. The way that we are thinking about gross margin in total at this point is we feel as though we have enough opportunity to optimize our cost structure and take cost out of the manufacturing process that will offset – more than offset any of the – of any further price increases that we are seeing of inflationary increases or seeing from supply chain.
Matt Miksic: That’s great. Thanks so much.
Vafa Jamali: You are welcome. Thanks, Matt.
Operator: Thank you. At this time, we do not have anymore questions. This concludes our question-and-answer session. I would like to turn the conference back over to Vafa Jamali, CEO for any closing remarks.
Vafa Jamali: Thank you very much. Again, it’s very, very early stages of our turnaround. We undoubtedly look forward to more of these with even more exciting news of our progress. So, thanks very much for tuning in and we look forward to updating you on our future progress. Thanks everyone.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.